Operator: Greetings and welcome to the Salem Media Group First Quarter 2017 Earnings Release and Teleconference. At this all participants are in a listen only mode. A brief question-and-answer will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host Mr. Evan Masyr, Executive Vice President and Chief Financial Officer. Thank you Mr. Masyr, you may begin.
Evan Masyr: Welcome and thank you all of you for joining us today for Salem Media Group's first quarter 2017 earnings call. As a reminder, if you get disconnected at any time, you can dial back in or listen from our website at www.salemmedia.com. With me today are Edward Atsinger, Chief Executive Officer; and David Evans, President of Interactive & Publishing. Dave Santrella, President of Broadcast Media, is not in the room with us, but is on the call as well. We will begin in just a moment with our prepared remarks. Once we're done, the conference call operator will come back on the line to instruct you on how to submit questions. Please be advised that statements made on this call that relate to future plans, events, financial results, prospects or performance, are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on currently available information. Actual results may differ materially from those anticipated and reported results should not be considered an indication of future performance. We do not intend and undertake no obligation to update our forward-looking statements, including forecasts of future performance, the potential for growth of existing markets, the opening of new markets or the potential growth from future acquisitions. More information on risks and uncertainties that may affect our business and financial results are included in our annual report on Form 10-K and other public filings we have made with the Securities and Exchange Commission. This conference call also contains non-GAAP financial measures within the meaning of Regulation G, specifically, station operating income or SOI, EBITDA, adjusted EBITDA and adjusted free cash flow. In conformity with Regulation G, information required to accompany the disclosure of non-GAAP financial measures is available on the investor relations portion of our website at www.salemmedia.com. With that I will now turn the conference call over to Edward Atsinger.
Edward Atsinger: Thank you Evan and thanks to all of you for joining us for today’s conference call. As usual my prepared remarks will cover the financial results during the first quarter of 2017, some recent acquisition activity and conclude with a brief update on leverage, dividends and free cash flow. I’ll then turn the call back to Evans to provide additional detail on first quarter performance before he discusses guidance for the second quarter of 2017. For the first quarter, total revenue increased 0.6%, expenses were up 0.9% resulting in a 0.9% decrease in adjusted EBITDA. At first glance these numbers may appear to be soft, but we actually are quite pleased with the numbers given some timing issues that tend to distort Q1 performance. I think most of you know that political years make big difference for broadcast companies like ours. We do very well in presidential years relative to other years in terms of election related spending. We do quite well in mid-term elections. Non-election years though we're not - are also not equal but the elect - the non-election year prior to the presidential election year always does better than the election year prior to the midterm and that's simply because the presidential election cycle starts early and a lot of that money flows back to the year prior. In fact, if you recall in the first quarter of 2016 there were still quite a number of candidates buying for the Republican nomination and a good bit of political spending took place that we were the beneficiary of. The non-election prior to a midterm of course is the one that is most disadvantaged piece of the election spending. So we like to look at the underlying strength of the quarter and when we do, we normally cut a factor out timing issues like political spend. And so when you look at the numbers in that context, they look better to us. As you recall, as I said we had a strong quarter first quarter 2016 with a good bit of spending. We reported 1.2 million in political revenue last year Q1 as compared to 100,000 in the first quarter of this, so that puts in further perspective. Additionally, Easter was in the second quarter of 2017, but was in the first quarter of 2016. Easter does impact our Christian ecommerce business, a significant impact. So if you exclude these two timing issues, total revenue would have been up 3% and adjusted EBITDA would have increased 10%. So as I say, we were pleased with the performance, we think the underlying strength was demonstrated. Let we break down these results by division. Broadcast revenue declined 1.9%, again impacted by a meaningful amount of political revenue in the first quarter of last year. If you exclude political revenue from both the first quarter of 2016 and the first quarter of 2017, broadcast revenue was actually up 0.2%. Additionally, we were slightly ahead of the Miller Kaplan numbers in the markets in which we compete where those - where that firm does its survey, despite the lack of political, our network by the way performed quite well with revenue actually increasing 2%. Miscellaneous non-traditional revenue which includes things like events and sales directly to listeners continues to show strength with 16.4% increase over the prior year. As we continue to try to diversify our billing away from overreliance on spot advertising revenue. And as a company, we have far less reliance than our public peers simply because of our block programming but nevertheless we increasingly like to diversify our revenue sources. As usual, we remain focused on controlling expenses. And broadcast expenses were down 0.9%. Revenue at our digital division was down 2.9% in the first quarter as compared to the prior year. This decline was due to the same two reasons; political and timing of Easter, which is significant to our church ecommerce business as I mentioned and also to our conservative websites - conservative political opinion websites. Again, excluding these items, digital revenue was actually up 1.5%, the strongest performance [indiscernible] digital business was by Christian ad sponsor websites which were up 4.9% and I might add these businesses are not impacted by either political or by Easter. This was driven by traffic on our mobile apps which is more than tripled and by page view growth of 32.9% on these websites. Turning over to broadcast division, digital expenses were managed nicely with expenses down 3.6%. There were some impressive growth in our third business segment, book publishing, revenue was up 34.6% compared to the prior quarter and the prior year and was due to a couple of factors. First, Regnery Publishing increased 48.9% driven by the success of David Limbaugh's The True Jesus: Uncovering the Divinity of Christ in the Gospels. While the book was officially released on April 10, many of the physical books were sold and shipped in March. Book has been on the New York Times’ bestseller list for the last two weeks. Additionally, our author services division was up 35.2%, again principally due to the acquisition of Mill City Press in the middle of last year. Mill City Press by the way is performing consistent with our ROI expectations. You might notice that corporate expenses appear high with a 21.6% increase. Again there's an issue here however it’s important that we should point out that the increase is due entirely to expensing annual bonuses paid in the form of restricted stock that was granted in the first quarter, excluding this, corporate expenses were up only 0.9%. We continue to remain focused on debt pay down and delevering the company's balance sheet with less emphasis on acquisitions than in the past. During the quarter, we spent a total of only $363,000 on four translators and a small digital asset. This facilitated and allowed us to further reduce our debt paying down $5 million on term loan B during the quarter. As a result, our leverage is currently at 4.98 and I might add it’s only 2 basis points where it was at the end of 12/31/16 and this remains - this is the lowest point in four years, so we're pleased with the progress. With respect to dividends, we paid $1.7 million of quarterly dividends or $0.065 per share on March 31. A $0.26 per share annually, this represents a 3.5% dividend yield based upon our current stock price. Finally, adjusted free cash flow was down slightly at 1.1%. However if you exclude the timing issues I addressed earlier, adjusted free cash flow would have increased 29% highlighting again a fundamental strength of the quarter’s performance. For the last 12 months, adjusted free cash flow increased 4.5% to $27.5 million or $1.06 per share. That puts our adjusted free cash flow yield at a 14.4% yield. Before I turn the call back to Evan, I want to reiterate that our top priority remains growing our free cash flow and using that free cash flow to reduce debt and make our balance sheet a little more attractive. We will continue to be highly selective on acquisitions until we’re able to get our leverage ratio below 4.5. I look forward to giving further updates as we make progress in this area. With that, let me turn the call back to Evan for additional details on the quarter.
Evan Masyr: Thank you, Ed. For the first quarter, total revenue increased 0.6% to $65 million; operating expenses on a recurring basis increased 0.9% to $54.6 million and adjusted EBITDA decreased 0.9% to $10.3 million. Net broadcast revenue decreased 1.9% to $47.8 million and broadcast operating expenses decreased 0.9% to $35.8 million, leading to a 5.0% decline in station operating income to $12 million. On a same station basis, net broadcast revenue decreased 1.6% to $47.6 million and SOI decreased 3.8% to $12.1 million. These same station results include broadcast revenue from 112 of our 115 radio stations in our network operation and represents 99% of our net broadcast revenue. For those interested, let’s take a quick look at revenue by format. 40 of our radio stations are programmed in our foundational Christian teaching and talk format. These stations contributed 43% of total broadcast revenue and decreased 2% for the quarter. Our 32 news talk stations had an increase of 1% in revenue for the quarter. Overall, these stations contributed 18% of total broadcast revenue. Revenue from our 13 contemporary Christian music stations contributed 20% of total broadcast revenue and decreased 2% for the quarter. The 8 stations that we have programmed in Spanish language Christian teaching and talk decreased by 8% and this format comprises 2% of total broadcast revenue. Finally, we have 13 stations in a business talk format and this format contributed 3% of broadcast revenue and decreased 5% for the quarter. Our network revenue increased 2% for the quarter and represents 9% of total broadcast revenue. Publishing revenue increased 34.6% to $6.5 million and represents 10% of our total revenue. Finally, revenue from our digital media businesses decreased 2.9% to $10.7 million and represents 16% of our total revenue. During the quarter, we repaid $5 million on our Term Loan B. At March 31st, we had $258 million due on the term loan and had $1.2 million drawn on the revolver. Our leverage ratio increased from 4.96 last quarter to 4.98 at the end of March compared to our covenant of 5.75. And for the second quarter of 2017, we are projecting total revenue to decline between 1% and 3% from second quarter 2016 total revenue of $67.8 million. This decline is due to the lack of political revenue, the elimination of four loss making magazines during the quarter and the fact that we released Hillary's America by Dinesh D'Souza late in the second quarter last year, which hit number one on the New York Times best seller list. We do not have a comparable book release scheduled for the second quarter of 2017. Excluding the impact of these items, we would be projecting revenue growth of 0.5% to 2.5%. We're also projecting operating expenses before gains or losses on the sale or disposal of assets, stock based compensation expense, changes in the estimated fair value of contingent earnout consideration impairments, depreciation expense and amortization expense to be between a decrease of 1% and an increase of 2% compared to the second quarter of 2016 non-GAAP operating expenses of $54.9 million. This now concludes our prepared remarks and we would like to answer any questions that anyone has. Operator?
Operator: [Operator Instructions] Our first question comes from Lisa Springer with Singular Research. Please proceed with your question.
Lisa Springer: Did I hear correctly that your tripled traffic year-over-year for Christian mobile app?
Edward Atsinger: Yes. We acquired a number of mobile apps over the last 18 months or so. So some of that is acquisition related, but yes, mobile app traffic has tripled in the last year.
Lisa Springer: Okay. Are you thinking you're going to be able to sustain that kind of momentum into the next quarter?
Edward Atsinger: Yes. We anniversary the final one of those acquisitions during the second quarter. So that rate of growth will slow in the second quarter and beyond.
Lisa Springer: Okay. Great. And could you comment on the performance of the financial publications business during the quarter?
Edward Atsinger: Yeah. The financial publication business compared to a year ago, its revenue grew about 15%. So made some good progress in that area, however, it's important to remember that last year was a very challenging year for investment newsletter. That business always struggles in political years because of uncertainty related to the election. So the 15% revenue growth is a bounce back from some soft numbers.
Lisa Springer: Okay. And then the Author Services businesses, M&A kind of drove the 35% increase. Are there more opportunities for M&A in that space?
Edward Atsinger: Not at this point in time. The acquisition of Mill City moved us into the general market area for the first time. So at this point in time, we are focused on making sure we get the benefits of that combination and that integration, so looking for organic growth to be the driver at this point in time.
Operator: Thank you. Our next question comes from Barry Lucas with Gabelli & Company. Please proceed with your question.
Barry Lucas: Thanks and good morning. First thing, just kind of housekeeping, could you just tell us what the political revenues were in 2Q ‘16?
Evan Masyr: Political revenues last year in the second quarter were right around $0.5 million.
Barry Lucas: Okay. And any update you can provide on block programming renewals, where you stand in that cycle, new ministries or any color there would be helpful?
Edward Atsinger: It remains pretty predictable, pretty stable. A little bit of churn, but nothing extraordinary. Still a very good - very strong demand for block programming time. The big problem is to accommodate it because there are preferred times most of the organizations that by that time prefer drive times, particularly morning drive. And those times are always in high demand and there are the strong demand if some of those would open up. There's demand for the other parts of the daypart, but less demand, but it's pretty stable nothing extraordinary that will impact our financial results.
Barry Lucas: Okay. Thank you, Ed. Last one for maybe for David. And maybe a little bit of a discussion on monetizing the increase in web traffic where CPMs are and how do you move the needle there?
David Evans: We’re seeing pretty good translation of visits and page views in the revenue. Desktop continues to outperform mobile. But we are seeing improvement in the Mobile area. So I feel pretty good about where we're going. If there's a threat out there, it's the threat related to ad blockers, which we know is hurting us and we're looking at how to address. But generally, monetization is in pretty good shape.
Operator: Thank you. There are no further questions at this time. I’d like to turn the call back over to Mr. Edward Atsinger for closing remarks.
Edward Atsinger: Well, thanks again to all of you for joining the call and we'll look forward to visiting with you again in a few months when we report on Q2 earnings Thank you operator.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.